Operator: Good morning everyone. And thank you for participating in today's conference call to discuss Wayside Technology Group's Financial Results for the First Quarter ended March 31, 2021. Joining us today, our Wayside CEO, Mr. Dale Foster, the company's CFO, Mr. Michael Vesey, and the company's outside investor relations advisor, Cody Cree with Gateway Investors Relations. By now, everyone should have access to the first quarter 2021 earnings release, which went out yesterday afternoon at approximately 4:15 PM Eastern Time. The release is available in the Investor Relations section of Wayside Technology Group's, website at waysidetechnology.com. This call is also available for webcast replay on the company's website. Following management remarks, we'll open the call for your questions.
Cody Cree: Thank you, James. Before I introduce Dale, I'd like to remind listeners that certain comments made in this conference call and webcast are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to certain known and unknown risks and uncertainties, as well as assumptions that could cause actual results to differ materially from those reflected in these forward-looking statements. These forward-looking statements are also subject generally to other risks and uncertainties that are described from time to time in the company's filings with the SEC. Do not place undue reliance on any forward-looking statements, which speak only as of the date of this call. Except as required by law. The company undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements. Our presentation also includes certain non-GAAP financial measures, including adjusted gross billings, adjusted EBITDA, net income excluding non-recurring costs and non-GAAP earnings per share as supplemental measures of performance of our business. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You'll find reconciliation charts and other important information in the earnings release in Form 8-K we furnished to the SEC yesterday. I would now like to turn the call over to Wayside CEO, Dale Foster.
Dale Foster: Thank you, Cody. And good morning everyone. We continue to drive our growth strategy during the first quarter, giving our business a solid foundation for 2021. Despite a tough comparable prior year period, our gross profit reached $10.8 million, which is a company record. And we continue your over year growth across net sales and adjusted gross billings. While we continue to make strategic investments ahead of our growth objectives, the benefits of these investments have yet to fully flow through our profitability. However, we expect to build onto this bottom-line growth over time, as we continue to work and expand our vendor network, and drive integration and synergies with our recent acquisitions. The three core growth drivers we laid out last quarter underscore our progress during Q1, and they will guide our work for the rest of this year. As a brief reminder, these initiatives are as follows: first drive organic revenue growth from our business by deepening existing vendor relationships.
Michael Vesey: Thanks Dale. And good morning everyone. Net sales in the first quarter of 2021 increased slightly to $62.8 million compared to $62.6 million, in the year-ago quarter. This modest growth reflects the positive impact of CDF and Interwork and was partially offset by a changing product mix within our existing vendor network, relative to prior quarters as Dale had mentioned earlier. It's also important to note, the first quarter of 2020 had a substantial uptake in growth through significant client win. Adjusted gross billings, a non-GAAP measure, increased 22% to $210.9 million in the first quarter of 2021, compared to $173.1 million in the year-ago quarter.
Operator: . And our first question comes from Ed Woo from Ascendiant Capital.
Ed Woo: Congratulations on the quarter. Definitely as businesses come back to normal work schedules as the pandemic ends, how do you see that affecting your business this year?
Dale Foster: Yes, thanks Ed. And as Mike mentioned, it changes our product mix as a distributor, holding a hundred vendors. We have hardware, software services, I think it's just going to change that mix. And I can tell you that what has not changed is how many vendors are still coming out of the startup phase, so we get to look at them and how many customers are actually recovering and looking at different mixes in their product that they're selling to their end users. So it's all positive, I'm looking forward to actually getting more in front of the customers and vendors, so just opening up in parts of the country and we're doing a lot of the travel there. Other than that, yes, it's positive.
Ed Woo: Great. And then my next question is on M&A you mentioned that it's definitely a pillar of opportunity. What are you seeing out there in terms of opportunity and on valuations for some of these potential opportunities?
Dale Foster: Yes, I'll let Mike talk on the valuation side. As far as the opportunities go, we talked about it before, as far as JSON markets. There's been a consolidation in North America on distribution. So we'll look at the JSON markets, especially in the cloud, also into MSP, and as we mentioned, Microsoft thing maps - although it's not a big part of our business, coming to the US, it gets us into a whole another category of customers and ISVs. We're selling to the Intel ISVs in Europe, we have Sigma in our media team over there, and then coming to the US for those product mix, I think it opens up some new potentials as far as targets for us. And then we'll continue to look not only into the Europe market, but other places for creative acquisitions.
Michael Vesey: Yes. In terms of reviewing prospects and valuation metrics, I don't think our view has changed, Ed. We looked at the things, businesses that are profitable, are creative to our business, and fit in strategically, and we think will providers saying, "An adequate return over a longer time horizon than us, and some of the short-term investments we made in the past." Now, that being said, I think there's probably some general uplift in the multiples for distribution companies, particularly the larger ones than if you look, say 1.5 year or 2 years ago, if you look at the Synnex-Tech Data merger and things of that nature. So the environment might be that people are seeing the value in distribution and in this model, capital light kind of cash flow business model in general. But when we look to acquire a company, we're probably small enough relative to them, that our view of values and multiples hasn't changed that much.
Operator: . Our next question comes from Howard Root .
Unidentified Analyst: Congratulations on continued progress, Dale and Michael. I got 2 quick questions then more open-ended question one on the dividend, just to look at things going forward. I know the new management team inherited this dividend. It's been at just $0.17 for the last 5 years, and I kind of assume, but worth asking, is the board still committed to the dividend at that level? When you, even though you've got these growth opportunities, it's a dividend plus growth kind of story as we look forward, or is there any changes to that thought process on the dividend?
Dale Foster: It might take on it is the Board still committed to the dividend and you're right. It has been in place a long time. We talk about it at each one of the board meetings and you're right. We inherited and plus we have a new board there's inherited that as well. If we look forward Howard and we're saying, wait a second, we really could use those dollars better right now. We don't have use for it on the acquisition side we have the free cash flow that we mentioned. I still think it stays in place until we have a better use for it.
Unidentified Analyst: Great. And second quick question. The one thing, the net sales, if you look year over year, obviously with tough copy your ago were essentially flat at $63 million, but the adjusted gross billings increased 22% from $173 million 1 year ago to $210 million, which doesn't track to make. Can you explain how that happens? How the adjusted gross billings goes up and is there a beneficial effect we can see from that going forward with that number going up, but the net sales stay in class in Q1.
Dale Foster: Yes, let Mike answer and then I'll put my 2 cents in there.
Michael Vesey: Yes. So when we enter into a transaction and bill it if to a certain extent, not terribly relevant to us in how we operate the business or what our cost structure is, whether we're selling a piece of hardware, that's dropped shipped by a vendor, for a software contract, which is dropped shipped by a vendor. However, the accounting is different. If we sell a piece of hardware, we report that as a gross sale. And if we sell a piece of software, certain types of software or maintenance contracts and security contracts, we just report the net profit as a net sales. So to get a real indicator of how the volume and the business is tracking the adjusted gross billings is the number that we look at internally. And we use that to measure whether our sales activities are going up or down. The reason for the kind of dramatic shift this quarter where the adjusted gross billings, as you said, grew 20% plus. And our net sales were kind of flattish was our product mix last year, if you'll remember, or look back, included a large sale of hardware from one of our vendors. And this year, our sales activity included more software and security. It didn't have a large outlier sale hardware. So it was strictly a function of product mix, how we record that revenue on a GAAP basis. But the economics are really the same to us, whether it was recorded net or gross for GAAP. So internally we look a lot to adjusted gross billings and our growth and gross profit as the key indicators of how our businesses perform.
Dale Foster: Yes. Howard , I look at it pragmatic, right? I mean I have to collect $210 million just like a quarter 1 year ago. I had to collect $176 million. So those are real dollars. It's the GAAP piece of it that actually nets down to what the accounting standards want us to report, but Mike's right. It's, these are the gross billing. That's what we're collecting from our customers, paying to our vendors on the margin and watch us on the growth side and the gross profit piece.
Unidentified Analyst: Okay. Good. And I think that might tie into this last question more general, and open-ended your gross margins are making phenomenal improvement stolen from 13% last year, 15%, if I calculate in Q4 17% in Q1. So we're up 4% in just the last year. And I assume that's because of this software shift. And now with you going into this internal cloud marketplace, I kind of feel without any information that your margins will continue to move upward. And the profitability of the business grows as you get out of hardware and into software, especially cloud-based software. Can you talk a little bit about how that you see that playing out? I know you don't give guidance. It's, hard to do that, but just in general terms, is that the way we should be looking at it, gross margins, improving profitability improving, along with sales, as you move into this internal cloud marketplace?
Dale Foster: No, it's not Howard . So that's misleading, right? Because gross margin on adjusted net sales of GAAP sales, it should be looking at margin on gross sales and gross profit. And you should really look at it just like gross profit. The gross profit dollars that we produce, will those margins go up, but not significantly like that, because all it takes is like Mike said one big hardware sale, and it changes the whole dynamics of how net GAAP looks at it. Versus just our overall numbers versus overall GP. And that's what you should look at it. I do agree with you though, going into the cloud marketplace those margins, depending on the product that we're selling typically are higher. So you'll see that, but we're in the distribution business. So the margins are very slim and it's based on basis points that we can move the needle as we grow to a billion-dollar company overall.
Unidentified Analyst: Yes. Okay. Glad I asked.
Michael Vesey: And to that. So I think that there's two elements there. So when you look at our gross profit relative to our net sales, I think as a general concept, you guys are moving into more cloud services, which are recorded net. Would that number tend to go up? I think the answer's yes, it will be up and down from quarter to quarter based on mix, but over time, it would, you know what Dale was saying when I kind of alluded to earlier, but don't forget internally. We think an important indicator to look at as well, is those gross profit dollars relative to our adjusted gross billings. So we just want to let people know you should really look at both factors when you're trying to measure how we're moving forward.
Unidentified Analyst: Okay. Yes, it's a difficult business to look at from a GAAP basis. And I wasn't as focused as I should be on the adjusted gross billings by 22% increase in that is a really substantial increase for your business and the Q1.
Dale Foster: There that shows the work that we're getting done right. I mean we needed that to get to the bottom line, but yes, that's correct.
Operator: Next question comes from Walter Ramsley from Walrus Partners.
Walter Ramsley: Congratulations. Good quarter. It looks like a good year coming up. We've got a couple of things. The two companies that the company purchased; how did they do in the quarter? Do you have a figure for what their contribution was and how that stacked up to what you were expecting?
Michael Vesey: I'll take that, Dale. So we don't report separately on the companies we acquired. And the main reason for that, if you look it into work, their businesses totally integrated into ours. So the value of the cost savings of integrating the businesses was far superior to running it independently and reporting on it. So that being said we were pleased with the performance of the assets you want to look at it that way, meaning vendors and account relationships, key management we picked up from them, and then also the performance and growth that we got out of CDF for the quarter. So we think both performed well. However, we don't report the numbers separately because the cost structures are so intermeshed it's difficult to do that.
Walter Ramsley: Okay. And then the new cloud marketplace, could you take a minute and just kind of explain how that's going to work? Okay.
Dale Foster: Yes. And it's going to be, like I said, the launch this month, we actually saw one of our, it's probably 90% there yesterday, was the team. We had a full demo with her, from our IT department. So the way it's going to work is we're going to take vendors that we currently have right now that are moving to a subscription-based model and also new vendors that just need to go into that model. And it's going to be a log-in platform or marketplace. So our customers, of course they have to have all the background information done for credit facilities, things like that set up, they'd log into the marketplace, and then they can start buying licenses, online adjuster licenses for their customers. So remember we're working with their resellers. So the resellers will have their own instance running to manage their licenses for their, in a hundreds or thousands of end users. And you'll see more and more the vendors moving in that direction, because the subscription is popular. Microsoft is the best at it. And on our reseller side, over in gray matter, they already have Microsoft and direct and indirect contracts that they're already doing, that we've taken what we've learned and what they've felt over the years to the U.S. and that's why it's a, it's a much quicker launch than it would have been if we did not have a CDF bring that or anything Sigma.
Walter Ramsley: Okay. And just quick is that going to create a recurring revenue stream for Wayside, or is there a different pricing model?
Dale Foster: Exactly. So instead of where we're selling a license or renewal every year, it'll be a subscription that eventually they'll get the monthly. It might be depending on the vendor and how they want to go to market. It might be monthly, quarterly, or yearly, but it'll be that management of that subscription and the update. The management of that subscription and the updates that go with it. But yes, you'll see that recurring revenue and that's what we're building. Both in the platform and as a company to see that happen because, we are mostly an all-software company. We have some appliances that go to facilitate what that vendor wants to do with a product, or if it's specialized. But other than that, it's software and it's a subscription based.
Walter Ramsley: And just as far as the financials go as you build up this operation, is that going to slow down the earnings temporarily while you build it up or won't it really be a factor?
Dale Foster: So that's an issue with some of the vendors more than it is because we have a diversified portfolio. You won't see it in near as much as a vendor that is decided to get away from hardware and to be able go onto a platform or into a market like Azure or AWS. That's pretty drastically as you see their sales change. Ours will be, we're still incubating vendors and vendors that we're incubating typically, it'll take them awhile to get to the platform unless they consider themselves born in the cloud. So with a 100 and some vendors, I think that will be more of a slower transition. You won't see it as dramatically as if there was a vendor switching over.
Operator: Our next question comes from Peter Luxe .
Unidentified Analyst: I'm doing okay. As perhaps the longest standing a stockholder in this company going back more time than I care to think of. Is it possible, and this question I've brought up before? Given the nature of the business, and it's hard to sort of plot going forward as one quarter doesn't necessarily flow from another profit wise. And the sort of the somewhat illiquidity of your shares. I've asked this question before, have you thought this would be better as a private company?
Dale Foster: You know, let me take the first part of it as far as one quarter to the next year, right? One quarter doesn't make that. But I would answer differently if we didn't have 2 acquisitions, one fully integrated, the other one, still in the midst of making and getting profitable on both sides. As far as the CDF acquisition, because we have a lot of things coming this way, more things going that way, and I say to US to Europe. It's an across both of our business units. Our distribution, and also what we're going to be calling our solutions group. Which is the tech extend group we don't talk much about but that's very similar to gray matter. So that will be some of the quarter to quarter, but as far as profitability goes, that's on the vendor mix that we have and that's going to be quarter to quarter as well. And also driving costs out of the business with the acquisitions. As the first question that was out there, are we still looking at your creative acquisitions? For sure. And that will be the same integration piece and questions that we have. They'll be in different market segments. I mean if it's purely an MSP cloud play, there won't be any hardware involved. It'll be all on the software side and the services piece of it.
Unidentified Analyst: As vision tends to be opening up, do you intend to bring some of the flock back in town as a group, or continue to do business remotely?
Dale Foster: Yes. Good question. So I said on a couple of calls ago. That it was quick for us to go remote because our teams were remote a couple days a week. We have a Denver office now that happened over the last year that we've never had before. So that's wide open with our teams. We're following the guidelines of the local governments. New Jersey being much tighter as they open up to 25% to 50%, we'll mix our teams back into the office, but we'll eventually get back there. We might not take it as hardcore as my background is that everybody should be in the office in their seat every day, and we'll get away from that. But I'm smiling when I say that, because I know the team's listening. But no, it will get back to the office. It's much better in person. The middle of the country is open. The sales teams are traveling as far as the field teams where it's comfortable and where they're allowed to. It's still tough between getting over to the UK and Mike and I plan on the trip as soon as that opens up and they're talking about June 21. And then same thing with Canada, it's still in a pretty much locked down state. So no one's traveling but as the authorities let us, we'll be opening up and being in person because it's just more productive.
Unidentified Analyst: A previous caller questioned your dividend policy. And as a long-term stockholder, the one thing that has always backboned this company in good times and bad was a solid dividend. And considering perhaps doing away with it and using the money elsewhere might seem like a good idea at the time but probably isn't. I don't know if that's something the Board would agree with, but I'm sure every stockholder would agree with that.
Dale Foster: Yes, we get different takes even on stockholders Peter. We have stockholders that say, "Hey, why are you paying a dividend? You guys, if you really have the energy and you have the targets, why don't you go right after the growth side of it with either investments internally into the company or through acquisition." So there's definitely different mindsets. And good thing about our board, very independent, they have different mindsets as far as what we should be doing. And I think as a collective group, we'll make that call. We haven't made any decision on that other than, really for the rest of this year, I don't see that happening as we're looking at targets. If we find a better use for the money that we think we can return to the shareholders in a bigger value to them, then we would make that call.
Unidentified Analyst: And finally, and I've asked this question in on more than one conference call? In every quarter you guys say, well we've sort of finished with the one-offs. And once again, we get some one-offs, charge-backs, severances, and so forth. I thought that trend was over.
Dale Foster: It is, I say it is, as far as when we look at that. But when you make an acquisition, you find other things and you're saying, "Hey, this is what makes the company more profitable. It makes it better to go to market reorganizing the team." So we're going to have those, and that can be with any company. Especially if we're doing an acquisition. So you're going to see some of those once in a while.
Operator: And that concludes the question-and-answer session. I'll now turn the call back over to Dale Foster for final remarks.
Dale Foster: Thank you, Adrian. Appreciate it. And I want to just address right off the bat. Apologize for everybody. I know that time's valuable that we messed up kicking off the call. We did a recording this time, and the wrong recording was loaded. So my apologies to that. Thanks everybody on the call today that listened in. Our vendors, our customers, and also to the Wayside employee family, that I hope to see you in person soon. I look forward to driving continued growth in the company. Just like we said before, still looking for acquisition targets that make sense for us and expanding our customer reach. We don't talk about numbers with our customer reach, and this is the value of the resellers. But I can tell you that we continue to expand this. We took advantage where a lot of companies kind of, I would say turtled up over the last 12 months and we just expanded. We did think that a lot of companies didn't do and we'll continue to do that and be disruptive in the marketplace. So thank you to everybody. And I appreciate your support.
Operator: Thank you, ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.